Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Centerra Gold 2013 Fourth Quarter and Year-End Results Conference Call and Webcast. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Thursday, February 20, 2014. And I would now like to turn the conference over to John Pearson, Vice President Investor Relations. Please go ahead sir.
John Pearson: Thank you, [Catherine]. Welcome everyone to Centerra Gold 2013 fourth quarter and year-end results conference call. Today’s conference call is open to all members of the investment community and to the media, first in listen-only mode and then after our formal remarks, we will open the phone to questions, at that point the operator will give the instructions again for asking a question. Please note that all figures are in U.S. dollars unless otherwise noted. Joining me on the call is Ian Atkinson, President and Chief Executive Officer, Gordon Reid, Chief Operating Officer and Jeff Parr, Chief Financial Officer. Before we begin, I would like to caution everyone that certain statements made on this call may be forward-looking statements and as such are subject to known and unknown risks and uncertainties, which may cause actual results to differ materially from those expressed or implied. Also certain measures we will discuss today are non-GAAP measures. And I refer you to our description of non-GAAP measures in the news release and in the MD&A. For a more detailed discussion of the material assumptions and risks and the uncertainties, please refer to our news release, the 2013 annual MD&A along with the audited financial statements and notes for 2013, which were issued last night and to all our other filings, which can be found on SEDAR. And now I will turn the call over to Ian.
Ian Atkinson: Thank you, John and good morning everyone. We had a very good fourth quarter at both Kumtor and Boroo and a good year. In 2013 we exceeded our guidance for gold production with lower cost. We were successful in expanding the Oksut resource and converting the majority of the inferred resources to indicated resources. We’ve now completed a preliminary economic assessment for Oksut and we announced the results last night, which show that the project has robust economics. We do not have any asset impairments and our reserve base only change to account for our projections during the year. We’ve maintained our dividend at CAD 0.04 per quarter as we also announced last night, which to the current share price represents annualized yield of over 3%. On the financial front, we reported net earnings in the fourth quarter $107 million or $0.45 a share, which brings our net earnings for the full year to $158 million or $0.67 per share. Cash provided by operations in 2013 totaled $484 million or $2.05 per share. And the company ended the year with a solid balance sheet with our cash and short-term investments grew to over $500 million or $425 million net of debt. During the year we also extended our $150 million revolving credit facility with EBRD for another year. This will provide us with additional liquidity going forward. So regarding our negotiations with the Government of Kyrgyz Republic, as you are all aware on the 24th of December last year we entered into a non-binding heads of agreement with the Kyrgyz Government. On February 6th, after the review of the agreement, the Kyrgyz Parliament passed a resolution which appears to support the concept of restructuring described in the HOA, in which Kyrgyzaltyn and exchanges our equity interest in Centerra for 50% interest in the joint venture concerning Kumtor. However the resolution does contain a number of recommendations that are materially inconsistent with the terms of the HOA. We will continue our discussions with the government regarding the potential restructuring transaction to resolve all of the outstanding concerns relating to the Kumtor project. However, the company continues to maintain that any agreement to resolve matters must be fair to all of Centerra’s shareholders. In the mean time, maintaining continues mining operations at Kumtor remains a government priority, as well as one of ours. As I have already said, we completed a preliminary economic assessment on the Oksut project, which has confirmed our expectations that we have a robust project, which we can now move forward quickly. Based on the resources that we announced two weeks ago, the PEA indicates the potential or with the heap leach operation with 11 year mine life with production starting in late 2016. The all-in cost of the project going forward would be $849 per ounce. And if you include taxes, an attractive $914 per ounce. The project would require construction and pre-production capital estimated to be a $166 million and the project has a good return with an NPV of $118 million using an 8% discount rate and a $1,500 gold price and that gives an IRR of some 19%. We're also excited about the upside on the project. The Keltepe deposit is still into the South towards the [Gatsuurt] deposit which is some 300 meters away. And we also have a number of other exploration targets on the top (inaudible). So with that I will now turn it over to Gordon to talk about our operations.
Gordon Reid: Thanks Ian. Both operations performed well during the quarter and as Ian mentioned, we did better than guidance for the year for both production and costs. At Kumtor the operation had an excellent quarter as we mined and processed the high-grade SB Zone ore from cut-back 15 producing 348,000 ounces of gold. For the full year, Kumtor produced 600,402 ounces of gold at an all interest gaining cost of $775 per ounce sold, which includes capitalized stripping and sustaining capital. The all-in cost, which includes growth capital, but excludes the revenue based tax, was a very attractive $853 per ounce sold for the year. This year similar to 2013, over half of Kumtor’s gold production is expected to occur in the fourth quarter when mining will again reach the high-grade section of the SB Zone in cut-back 16. We estimate that the Kumtor mine will produce between 550,000 and 600,000 ounces of gold in 2014 at a very attractive all-in cost in the range of $833 to $909 per ounce. Boroo continued to perform well during the quarter and for the year produced 19,318 ounces of gold exceeding our guidance by 5,000 ounces. Crushing and stacking of Boroo’s heap leach operation was completed in the fourth quarter. For 2014 Boroo will continue to process stockpile ore (inaudible) and will continue to operate the heap leach facility. The mills stockpiles are expected to be fully depleted in November 2014. Active heap leaching will continue until early 2015 and then transition to drain down closer status. Boroo is expected to produce about 45,000 ounces in 2014 consisting of about 24,000 ounces from the mill and the remainder from the heap leach operation. With that I’ll turn the call over to Jeff to discuss our financial performance.
Jeff Parr: Thanks Gordon and good morning everyone. On a consolidated basis, our fourth quarter revenue of roughly $470 million reflects a 71% increase in gold sales for the quarter compared to the same period last year, mostly reflecting increased production from Kumtor. Our average realized gold price at $1,271 an ounce was 26% lower than the $1,711 we achieved in the fourth quarter of 2012. During the fourth quarter, we posted net earnings of $107 million or $0.45 a share. For the full year, our net earnings was $158 million or $0.67 a share, an increase in our 2013 earnings reflects a 78% increase in ounces sold over 2012. We also had a $4.8 million or $0.02 a share write-down of the exploration inventory at Kumtor after we closed the exploration program there. Our results were also impacted by the adoption of IFRIC 20 in the first quarter of 2013, which had an effective date of January 01, 2012. IFRIC 20 relates to the accounting standard for the treatment of striping cost. This ultimately resulted in increasing our 2012 income retroactively with a corresponding reduction in 2013. Effectively we had capitalized about $40 million or $0.17 a share of previously extend stripping costs in 2012, which was then fully amortized in 2013. And you have seen that our 2012 taken to a restated. This resulted in our actual DD&A in 2013 exceeding our prior guidance which we gave you last February. The impact on EPS of the exploration inventory write-down and the IFRIC 20 adoptions totaled of $0.19 a share all of which is non-cash. Cash provided by operations was $484 million for the year representing $2.05 a share. Our cash and short term investments totaled $503 million at the end of the year and this is after investing $309 million in our properties, $30 million in exploration paying $31 million in dividends and spending $20 million to acquire the remaining 30% interest in the Oksut property. In 2014, our outlook for capital expenditures is $86 million which includes $43 million of sustaining capital but excludes capitalized stripping of $191 million. Growth capital is expected to be $43 million which is all at the Gatsuurt property primarily for relocation of certain infrastructure related to the KS-13 life of mine expansion. We begin 2014, with a healthy cash balance to just over $500 million and we have $76 million of debt outstanding under our $150 million revolving credit facility with DD&A. The drawn amount is due to be repaid in August or at the company’s distraction could be extended until February of 2015. And with that I will turn it back to Ian to wrap up.
Ian Atkinson: Thank you, Jeff. Just a few comments in summary, we had a good year at both of our operations, the company has a solid financial position and we’ve maintained our dividend. We completed the BEA for the Oksut project and we’ll commence a feasibility study, or potential gold production in late 2016. We are continuing our discussion and working with the Kyrgyz Government to resolve all of the outstanding concerns relating to the come to a project and have to achieve an agreement that is fair to all shareholders. For 2014 we have a very attractive consolidated all in cost which we expect to be in the range of 990 to 1,074 per ounce which includes all our sustaining and growth capital exploration and admin costs but excludes taxes. So with that let’s open up the call for questions. So operator would you please give the instructions on the process for the question-and-answer period.
Operator: Thank you. (Operator Instructions) The first question comes from the line of (inaudible) [Sharapov] from HSBC. Please proceed with your question.
Unidentified Analyst: Hi, congratulations on a great quarter. My first question is on 2014 CapEx. Your guidance including capitalize stripping around $280 million which is about $100 million lower than outlined in new mine plans for Kumtor. What about $60 million in reductions coming from capitalized stripping and growth CapEx each? I guess my question is this; has there been any adjustment to mine plan and hence that as you pre-stripping less in 2014 or are we going to see a bump in your CapEx somewhere down the road?
Ian Atkinson: I'll answer the part of the question and pass it over to Jeff and (inaudible) as well. No, we won’t there is no change to our mine plan that is continuing as it's outlined in the case 13 technical report in 2012. So that's continuing going forward. In terms of the stripping for this year, I don't think there is any material change in it, in terms of actual volumes being moved. And with respect to the capital costs, we have deferred some capital this year, but not significantly, just again responding to the current gold price environment we implemented a cost reduction program for capital and operating June of last year that is obviously carried over to this year. Jeff, do you have anything else to add?
Jeff Parr: I think that covers it Ian.
Unidentified Analyst: So, I guess most of the reductions in capitalized stripping capital expect in 2014 is coming from directly from the actual cost reductions not the volumes most. Because we've seen about $50 million in capitalized stripping for 2014 versus the plan I think.
Jeff Parr: Yes, you're correct. That's primarily from cost reductions that we've managed to achieve.
Unidentified Analyst: Okay. And as far as the cut-back 16, can you give us a little bit of color on that? Obviously it’s -- your Q4 production is very sensitive to how fast you advance there, so if you could maybe provide some additional detail how that’s going?
Gordon Reid: Certainly. This is Gordon Reid. Cut-back 16 is on schedule to reach the high-grade portion of the SB Zone ore at the end of third quarter. It’s very similar to cut-back 15 and that we won’t allow anything to slowdown that cut-back. We’ll make sure that it is moving as per schedule and we’re hoping to get ahead of schedule but of course we can’t guarantee that. But it is on track at the moment.
Unidentified Analyst: Okay. Thank you.
Operator: (Operator Instructions) The next question comes from the line of Alec Kodatsky from CIBC. Please proceed with your question.
Alec Kodatsky - CIBC: Hi, good morning everyone. Just maybe some questions around Oksut in terms of the process going forward. Clearly you have some idea what you want to do there, are you going to continue to expand on the exploration side and what point would you sort of consider permitting and timelines around moving it forward?
Gordon Reid: Yes. This is Gordon. We’re moving forward with the full feasibility study and the full EIA as required under Turkish legislation, and that has begun. There are timelines in Turkey to achieve certain milestones. And one of the timelines is that we need to have an approved EIA 3 years from the time we received the operating license which was January 2013, o January 2016. Our internal schedules suggest we’ll be completed 6 months before that and we do have a little lead time if that schedule slips, so that’s where we’re at. Exploration will continue, in the meantime we are starting a full feasibility study and continue with EIA process.
Alec Kodatsky - CIBC: Okay, great. And maybe just one for Ian, always a difficult question to answer, but just with respect to the discussions with the government, given that some time has passed since the (inaudible) decision, do you have any better sense as to what the process might be with the discussions and sort of, is there a framework around pushing things forward at this point?
Ian Atkinson: Yes, good morning Alec. Yes, we have a better sense now particularly, of course we just finished our quarter end board meeting and our [pre-Kirgiz] director is here. And so we’ve been in touch with the government and the Prime Minister and will be meeting with them actually in the couple of weeks’ time and to continue our discussions. So that we need to, would like to move forward as quickly as we can, so that we’ll get -- we’ll be in Bishkek on the 2nd of March for a few days to continue the discussions in detail.
Alec Kodatsky - CIBC: Okay. I think that’s it for me. Thanks guys.
Ian Atkinson: Hey, thank you Alec.
Operator: (Operator Instructions) Mr. Pearson, there appears to be no further questions over the phone lines at this time. I will turn the call back over to you.
John Pearson: Thank you, Jasmine. Thank you everyone for joining us on the call today and your interest in Centerra Gold. If there are further questions, please get a hold of it, we’re here in the office. So, at this point in time, we will end the call. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.